Operator: Greetings, and welcome to the LSB Industries Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kristy Carver, Senior Vice President and Treasurer. Thank you. You may begin.
Kristy Carver: Good morning, everyone. Joining me today are Mark Behrman, our Chairman and Chief Executive Officer; Cheryl Maguire, our Chief Financial Officer; and Damien Renwick, our Chief Commercial Officer. Please note that today's call includes forward-looking statements. These statements are based on the company's current intent, expectations and projections. They are not guarantees of future performance and a variety of factors could cause the actual results to differ materially. For more information about the risks and uncertainties that could cause actual results to differ materially from those projected or implied by forward-looking statements, please see the risk factors set forth in the company's most recent annual report on Form 10-K. On the call, we will reference non-GAAP results. Please see the press release posted yesterday in the Investors section of our website, lsbindustries.com, for further information regarding forward-looking statements and reconciliations of non-GAAP results to GAAP results. At this time, I'd like to turn the call over to Mark.
Mark Behrman: Thank you, Kristy, and good morning, everyone. As a company, we pride ourselves on safety first. And while our teams continue to focus on safe operations, as evidenced by our first 9 months of the injury-free performance, it is with great sadness that I have to report that in early October, a contractor working on our Pryor facility was fatally injured. Our hearts go out to his family and colleagues. This is a tragic reminder about why we put safety first and the importance of the need to remain focused on safety in everything we do. I am confident that our team will learn from this tragedy as we work together to ensure that everyone on our sites remains safe every day. With respect to third quarter financial results, market conditions remain constructive in both our industrial and fertilizer businesses. After increased CapEx spending in 2024 and through the first half of 2025, where we elected to execute on several growth projects, we are back to generating free cash flow. We expect to finish the year having generated solid free cash flow, and we're well positioned to keep investing in our strategic priorities. We recognize that there's more work to do and we see opportunities to continue to enhance our performance across the business. Now I'll turn over the call to Damien to review current market dynamics and pricing trends. Damien?
Damien Renwick: Thanks, Mark, and good morning, everyone. Turning to Page 5. During the third quarter, we completed our transition out of high-density AN for fertilizers and into AN solution for explosives. This moves us towards our stated goal of optimizing our sales mix. As a result, we are now supplying 100% of our AN solution contractual obligations to our customers. We continue to see strength in our industrial markets. Demand for AN for explosives is robust, particularly in the mining sector where strong gold and copper prices are boosting activity worldwide. Demand is also benefiting from quarrying aggregate production for infrastructure upgrade and expansion activity. We are seeing continued increases in domestic production of methylene diphenyl diisocyanate, or MDI, as a result of tariffs and antidumping duties on imported MDI. As a result, our nitric acid sales remain strong. Turning to Page 6. Pricing for UAN averaged $336 per ton on a NOLA basis in Q3, up 65% over Q3 2024. Prices continue to be supported by steady exports, lower imports and strong demand leading to below average inventory levels throughout the U.S. We expect these favorable dynamics to continue in the near term and position us well as we head into 2026. Urea prices moderated somewhat during the quarter driven by the resumption of Chinese exports. However, with the results of the latest India urea tender now known, Chinese participation was minimal and it appears that future exports will once again be restricted, supporting tight supply and higher prices. The ammonia market is healthy and pricing remains at attractive levels. Tampa ammonia increased by $60 to $650 per metric ton for the November settlement. Tampa ammonia has now increased by almost $260 per ton or 65% since hitting its 2025 low of $392 per ton in June. The market continues to be dictated by ongoing unplanned supply disruptions from the Middle East, the higher cost of production in Europe and continued delays in the start-up of new production capacity in the U.S. Increased natural gas curtailments and other issues in Trinidad are also maintaining the pressure on global supply. In the U.S., we expect to see a typical fall ammonia application season, subject to seasonal weather outcomes. Now I'll turn the call over to Cheryl to discuss our third quarter financial results and our outlook.
Cheryl Maguire: Thanks, Damien, and good morning. On Page 7, you'll see a summary of our third quarter 2025 financial results. Solid third quarter volumes and net sales reflect the progress we are making on our reliability journey along with the absence of no planned turnaround activity during the quarter. Page 8 bridges our third quarter 2024 adjusted EBITDA of $17 million to our third quarter 2025 adjusted EBITDA of $40 million. Higher pricing and increased sales volumes were somewhat offset by higher natural gas and other costs. Costs were higher in the third quarter, primarily related to the transition out of the HDAN business, along with higher maintenance and operating costs. On Page 9, you can see that our balance sheet remains solid with approximately $150 million in cash and net leverage at approximately 2x. After several quarters of heavy investment, we are back to generating free cash flow with approximately $20 million of free cash flow generated year-to-date and approximately $36 million in the third quarter. And we expect to continue to build on that in the fourth quarter. Turning to the fourth quarter outlook. Tampa ammonia settled at $650 per metric ton for November, up from $590 per ton for October, and NOLA UAN has averaged above $300 per ton so far this quarter. Additionally, Henry Hub natural gas cost is averaging approximately $3.45 per MMBtu but is expected to trend higher as we approach seasonally cooler temperatures. With the transition of our HDAN business into industrial grade AN, approximately 35% of our natural gas costs are passed through in our selling price to customers. This provides improved visibility into our earnings profile. Overall, we'd expect the fourth quarter of 2025 to be higher than the prior year fourth quarter due to higher selling prices and higher production, somewhat offset by higher variable and other costs. And now I'll turn it back over to Mark.
Mark Behrman: Thank you, Cheryl. Page 10 is an overview of our low carbon project at our El Dorado facility. We continue to expect the technical review of our permit to be completed in the first quarter of next year with operations to then begin by the end of 2026. We're excited about this opportunity as we expect to generate approximately $15 million in annual EBITDA from the project, with the majority of it beginning in 2027. Our El Dorado CCS project is a good example of how our industry can decarbonize and provide customers with low-carbon ammonia and derivative products in a cost-effective manner. We have made strong progress in the first 9 months of 2025 driven by increased production volumes of ammonia, UAN and AN and expect to end the year in line with our total sales volume targets set out at the beginning of the year. We've also continued to successfully shift our sales mix towards more contractual industrial sales, which allows us to pass through natural gas cost to our customers and provides us with greater earnings stability and visibility. At the same time, we've reduced our outstanding debt, continue to maintain a healthy cash balance while we evaluate several growth opportunities and continue to invest in the reliability and efficiency of our plants. I remain extremely optimistic about the future of our company, both for the remainder of the year and looking ahead to 2026. The market outlook remains robust, and we are well positioned to continue to improve our operational and financial performance while delivering sustainable growth and profitability. Before we open it up for questions, I'd like to mention that we will be participating in the NYSE Industrials Virtual Conference on November 18 and 19. We look forward to speaking with some of you at this event. That concludes our prepared remarks, and we will now be happy to take your questions. Thanks.
Operator: [Operator Instructions] Our first question comes from the line of Lucas Beaumont with UBS.
Lucas Beaumont: So I just wanted to sort of start on the ammonia market. I mean it's been tight sort of with the limited supply and the ammonia contracts continue to kind of move higher. I mean sort of depending on what we assume there for December, it looks like pricing could be up $130 sequentially, if not more into the fourth quarter. So I guess just kind of what's your view on the market there generally to begin with. And then assuming we see sort of a large kind of increase somewhere in that range, how should we think about that flowing through to your fourth quarter pricing?
Mark Behrman: Lucas, so at a high level, it is a tight supply and demand market globally. On top of that, clearly, we've got some issues going on in Trinidad that are affecting the market today and could have long-term effects on the market. I think also, while it's a little early, we feel like we're going to have a really healthy fall ammonia application season. So I think everything is really setting up to have good demand certainly in the United States and globally. A bit tighter supply, and that's why you're seeing pricing move up. But I'll let Damien give a little bit more color on the market itself.
Damien Renwick: Yes. Lucas, again, like Mark said, this is a story about lack of supply more than anything else. You've got issues in the Middle East with the Ma'aden plant in Saudi Arabia having a very extended outage for a significant volume of tons, other issues as well. And then you've got the news coming out of Trinidad with production coming out of the market for who knows how long. And the market is just reacting to that. So how long does that continue for? Well, look, it will continue for as long as that supply is out of the market. And then the wild card is when does the new capacity come online in the U.S. Gulf. And there's indications that some of that could be up later this year or early next year. But who knows? The proof will be in the pudding when that happens.
Mark Behrman: And I think just to add on to that, I mean, while it has been well known that, that production is coming online and we can have some more supply in the marketplace, I think the wild card now is Trinidad and what happens there and could that offset all or just partial some of that new supply coming on.
Cheryl Maguire: Yes. And Lucas, in terms of how that pulls through in the financial results, as you know, we are tied to Tampa ammonia. And so you will see that pull through in our pricing for the fourth quarter.
Lucas Beaumont: Right. And then I guess just thinking about UAN as we're kind of headed into the spring here. So I mean, we've sort of been seeing some sort of softness in pricing there a bit as urea has sort of come off and we're out at a kind of high period of seasonal demand so far. So I mean, it seems like that's probably going to continue to soften here a bit through the fourth quarter. But last year, we had pretty strong price increases and tight local supply-demand conditions as we sort of got into the spring. So I was just wondering if you guys could talk us through how you see that set up the 2026 there.
Damien Renwick: Well, look, Lucas, I think we're a little more optimistic on UAN. We're well sold forward. Are prices softening at the moment? I mean, yes, sure, urea has softened a little bit. But I think that's set up for a recovery shortly as that market tightens as Chinese exports exit their short entry in the last few months. And then the UAN market, I think, producers are pretty comfortable here in the U.S. We all came out of last season with very little inventory and there's been turnarounds, et cetera, in the last few months. And I think that tight supply is set up to continue. And we're confident that prices will be pretty healthy heading into Q1 and then into Q2 into the application season.
Lucas Beaumont: Right. And just wanted to ask one on the volume side. So there's a bit of noise this year sort of with the shift in the turnaround timing and kind of just the impact on sort of volume and the product mix between 3Q and 4Q. It seemed that was probably like flowing through to sort of costs in a few different ways as well. So I was just wondering if you could kind of help us understand sort of the impact that you saw there in the third quarter and how you see the set up for the fourth quarter on the sort of the volume and the cost side due to that.
Cheryl Maguire: Yes. So I mean, if we're thinking about the third quarter, we did have some mix changes flowing through with the transition of HDAN into AN solution for the industrial markets. We did see some higher costs related to that. I believe that's what you're alluding to. Part of that is, look, we're switching railcars and with that comes higher maintenance costs as we move and change out the fleet. We've got to restore the other cars to original state, which does lead to some higher maintenance costs. And you do see that pull through in the third quarter. As we're thinking about the fourth quarter, I think we would expect to see our ammonium nitrate, nitric acid volumes kind of in line with the third quarter. Ammonia as well and UAN, I would suspect, would be a bit higher in the fourth quarter as compared to the third quarter.
Operator: [Operator Instructions] Our next question comes from the line of Andrew Wong with RBC.
Andrew Wong: With the stronger industrial demand which appears to be continuing, how does that impact your negotiating position for contracts and the margins you're able to secure?
Damien Renwick: That's a tough question, that one, Andrew. Look, I think it's really going to depend on when those particular contracts expire and what's happening at the time. I mean, at any one time, we do have contracts rolling off, but they are typically smaller than some of our more substantial ones which are under longer-term duration. So again, it would just come down to the specific situation. I think at the moment, prices are healthy and the broader happenings with Tampa ammonia and natural gas makes the environment well set up to maintain or even increase prices if and when contracts expire.
Mark Behrman: Yes. I would just say that healthy overall nitrogen prices certainly help negotiating new contracts or renewal of new contracts when they come up for sale.
Andrew Wong: Okay. Great. That's helpful. And then just in terms of growth for LSB, just given that stronger industrial backdrop, is that a path that we can expect to see LSB take in terms of spending on more upgrade capacity? And if you were to take that path, do you maybe need to have some sort of backstop on like longer-term contracts to guarantee a certain return on those projects?
Mark Behrman: Yes. Andrew, we're constantly looking at ways that we can increase our production capacity. So we did a urea expansion up at our Pryor facility. There is a second urea expansion that is in the early stages of evaluation. And that might not necessarily just go to UAN. We could enter the DEF market, which would be an industrial product. So I think we're evaluating whether we want to do that or not. At El Dorado, we've talked in the past about an ammonia expansion there, and that ammonia expansion would probably add in the neighborhood of 100,000 tons. So we are down the pathway to evaluate and really do our engineering studies to see if that really makes sense for us. Would we backstop that? I think at 100,000 tons, we're probably pretty comfortable. If we did a big expansion, I think we would want to backstop it as is a lot of our risk aversion for trying to lock in some returns for the investment of capital. So I think we're not prepared yet to talk about the expansion. I think we'll wait until we get through our engineering studies. And then if it makes sense and the Board supports it, then we'll certainly announce it.
Operator: Our next question comes from the line of Laurence Alexander with Jefferies.
Laurence Alexander: Two, if I may. First, on the industrial market side of your business, can you just give a baseline for your seasonality going into next year with the current mix of contracts? And then how do you think about extending the amount of preselling if there is any sort of fly up in ammonium nitrate prices? And secondly, with El Dorado, what's your current thoughts around changing your offtake structure or signing more offtake agreements as the project gets closer to completion?
Mark Behrman: Well, Damien, I'll let you handle the first one.
Damien Renwick: Yes. Okay. So seasonality, Laurence, most of the offtake through the year is fairly ratable. We do see some seasonality in our AN industrial business for explosives. And that's simply related to weather. I mean, we've got sales up into the northern parts of the U.S. and into Canada. And when it gets cold, it becomes more difficult for those miners to blast. And so that does mitigate some of that demand. But we're well set up to manage that with our current infrastructure and arrangements with our customers.
Mark Behrman: As far as the project at El Dorado, Laurence, are you referring to the carbon capture and sequestration project? Or are you referring to if we were to expand our ammonia production capacity?
Laurence Alexander: Sticking to the CCS project.
Mark Behrman: Yes. So the CCS project, we've already got a negotiated per ton of CO2 sequestered rate with our partner, Lapis Energy. So that's already locked in. And as you know, we're generating the CO2 today. We're just venting it in the air. So the project here is to capture it, dehydrate it, compress it and then sequester it in a well that is actually already drilled on our property. So the real gating item here is just the permit, the Class VI permit from the EPA to allow Lapis to really sequester the CO2. Obviously, once we get that, we need to build a compression facility. But again, there are lots of those around the world and so that's not complicated technology. So whether we sign additional AN solution contracts or nitric acid customer contracts for those products at a premium, the team is working on that and certainly engaged in conversations with customers. The other thing that we could do, and we spent a fair amount of time looking at, is you could sell in the interim the environmental attribute. And there's a value to that as well. So I think we're looking at all avenues to monetize the low-carbon ammonia and the environmental attribute that is associated with that.
Operator: [Operator Instructions] Our next question comes from the line of Rob McGuire with Granite Research.
Robert McGuire: Could you please talk about UAN volumes? It looks like they're down around from 150,000 to about 135,000 year-over-year.
Cheryl Maguire: Yes, Rob. So we did have a bit of miss on our UAN production in the third quarter. I would say we didn't quite meet our expectations. We would expect to be in line with our expectations in the fourth quarter.
Robert McGuire: Okay. Great. And then can you talk -- what's your revenue mix of ag versus industrial now that your HDAN is being sold as ANS into the mining markets?
Cheryl Maguire: Hard to look at it on a revenue basis, Rob, because revenue is really going to be driven by what the pricing looks like at any given time. I think it's probably better to look at it from a volume or a tons perspective. And so I think from the industrial side, we're probably 40% to 45% with the balance being on the ag market side.
Robert McGuire: And then you talked about the proposed antidumping duties on imported MDI. Can you just give us a little more color around the dynamics around that topic?
Damien Renwick: Yes. Rob, so that evaluation is currently working its way through all the typical formal proceedings here in the U.S. I think there's a preliminary determination that's out there and we're awaiting the formal determination. And that will then officially put in place the antidumping duties on Chinese MDI. And so the effect of that is we're seeing domestic producers ramp up their MDI production as much as possible. And nitric acid is a raw material into that production chain, which is pretty complex so I won't try and explain it to you. But yes, so we're seeing some pull-through there and certainly efforts to increase production where possible.
Robert McGuire: Wonderful. And then just one last question. Can you give us an update on your value creation initiatives? Mark, you told us about what may be up and coming, but just of what's left, where you're at in terms of your progress?
Mark Behrman: Oh boy, we have a lot left. So I would say on our reliability and maintenance efforts, we've still got a fair amount of opportunity out there. So maybe we're somewhere between 25% and 50% complete with that. But I think I really do believe we have a lot of opportunity to not only improve our reliability and therefore the production tons, but do it in a much more efficient manner, so lower cost. And so we're focused on both of those. When it comes to profit optimization. I think we outlined that there was probably $20 million or so that we expect to come from that. And we're somewhere, again, between 40% and 50% when it comes to that. As far as some of the other initiatives that we have, I think the greatest thing about all of this is we're like kids in a candy store here. I mean, every day, we're trying to solve for issues or improve the overall profitability of the company. And you sort of peel that onion back and then you find two other things that you can work on to really create value. So I think it's a never-ending process, to be honest. But I think we'll give a lot more color, Rob, on our fourth quarter conference call, our year-end conference call of exactly where we are and what we expect to achieve in 2026.
Operator: Mr. Behrman, we have no further questions at this time. I'd like to turn the floor back over to you for closing comments.
Mark Behrman: Great. Well, as always, thank you, everyone on the call, for their interest and great questions. As you can tell, we're really excited about the business and where the markets are today. And so stay tuned. Thanks so much.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.